Operator: Greeting and welcome to the J2 Global fourth quarter and year-end earnings conference call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. It is my pleasure to introduce your host, Mr. Scott Turicchi, President of j2 Global. Thank you. Mr. Turicchi, you may now begin.
Scott Turicchi: Thank you very much. Good afternoon and welcome to J2 Global's investor conference call for the first fiscal quarter of 2015. As Mike, our operator just mentioned, I am Scott Turicchi, the President and CFO of J2 Global and with me today is Hemi Zucker, our Chief Executive Officer. We are very excited and proud of our accomplishments in the first fiscal quarter of this year and we will discuss in detail new developments at J2, a review our business units as well as an update to our guidance. Performance was strong in both our cloud and media segments and as a result, our Board has increased the quarterly dividend to $0.30 a share. I might remind you that we started the dividend only about 15 quarters ago and it was $0.20 per share and in the aggregate, we will now have distributed upon payment of this dividend, $186 million of dividends to shareholders in that timeframe. We will use the presentation for today's call, a copy of which is available at our website. When you launch the webcast, there is a button on the viewer on the right-hand side which will allow you to expand the slides so they are more easily readable. In addition, if you not yet received a copy of the press release, you can access it through our corporate website at j2global.com\press. In addition, you will be able to access the webcast from this site. After we have completed our formal remarks, we will conduct a Q&A session. The operator at that time will instruct you regarding the procedures for asking a question. I would remind you, you may email questions at any time at investor@j2global.com. Before beginning our prepared remarks, I will read the Safe Harbor language. As you know, this call and webcast does include forward-looking statements. Such statements do involve risks and uncertainties that could cause actual results to differ materially from the anticipated results. Some of those risks and uncertainties include, but are not limited to the risk factors that we have disclosed in our various SEC filings, including our 10-K filings, recent 10-Q filings, various proxy statements and 8-K filings, as well as additional risk factors that we have included as part of the slideshow for the webcast. We refer you to discussions in those documents regarding Safe Harbor language as well as forward-looking statements. I would now ask you to turn to slide five, where I will give a quick overview of the results and then turn the call over to Hemi. Q1 was a record for us or any quarter in the company's history but Q4, which as you know was seasonally good because of our media business. We had record revenue in Q1 of $161.3 million, up about 20% or approximately $27 million. This is in light of the fact that foreign currencies hurt our revenue versus Q1 of 2014 by approximately $4.7 million of revenue, $4.2 million of which is attributed to our cloud business and $500,000 to our media business. Foreign currencies also affected sequential performance from Q4 of 2014 to Q1 of 2015 by $2.3 million. As we have talked about on these calls on numerous occasions, M&A is an important part of our overall business strategy in terms of how we grow our businesses and scale them. During the first fiscal quarter, we completed nine acquisitions at a total cost of approximately $75 million. I would note that since our M&A program began in early 2000, we have completed 109 transactions and spent $1.1 billion. So as you can see, our average deal is about $10 million. We do many of them, but we are able to find them at the right price. Our business cloud services had all-time record cloud revenue for any quarter in the company's history of $118 million. Q1 revenue was up $17 million or 17% versus the prior year with our other cloud services, meaning our non-fax and voice up $16 million or 120% versus the prior year. Media had another strong quarter with revenues up $10 million in Q1 of 2015 versus Q1 of 2014. As importantly though, there was margin expansion from 26% to 32%, resulting in 52% flow-through of incremental revenue to EBITDA. I would now turn your attention to slide six, which will give you a little bit more detail on our reporting by segment. I will remind you, we have the cloud segment which consists of two pieces, our cloud services business, as well as our IP licensing. So our services business was up 60.5% in revenues. Q1 of 2015 to Q1 of 2014 and EBITDA was up approximately 15%. What I would note is that in our cloud services business, we had about 43% flow-through of incremental revenue from Q1 of 2014 to Q1 of 2015 to EBITDA which is ahead of the margin that we have in our non-fax and voice businesses and substantially all of that revenue increase came in that category. Our IP licensing, through the settlement of one case during the quarter, was able to surpass the revenue in 2014 by about $300,000 but had somewhat lower EBITDA as I have reminded you on the last several calls because we continue to make investments in the portfolio that later this year we will begin to assert. The addition of our cloud services business and our IP licensing rolls together in what is called total cloud which had a revenue increase of 60.5% and EBITDA margins of 47.1%. Media, as I mentioned, had a growth of approximately $10 million in revenue year-over-year and a little over $5 million increase in EBITDA and expansion of the EBITDA margin from 26$ to 32%. Those two pieces add together give us J2 Global consolidated, which resulted in $0.85 a share in non-GAAP warnings and $0.45 a share in GAAP earnings. I would remind you, the primary delta between the GAAP and the non-GAAP is our non-cash interest expense on our converts, which is new in Q1 of 2015 versus Q1 of 2014 and the amortization cost for the nine deals that were concluded in Q1 of 2015 as well as the nine deals concluded in Q4 of 2014 which were not existent in Q1 of 2014. At this time, I will turn the presentation over to Hemi, who will walk through the various business units.
Hemi Zucker: Thank you, Scott and great afternoon for everybody. Before I start, I want to talk with you or get your attention to the quote when I say Q1 was very strong. It is very hard to explain the initial quote but let me tell you why Q1 is so strongest. There are three main reason. Reason number one. Our growth was planned to be 16% to 17% at our mid-point in our outlook. But actually we have already surpassed the rate of 20%. Reason number two. Media, which is in its weakest point in Q1 and is getting better in Q2 and Q3 and significantly larger in Q4, grew 23% quarter-over-quarter and as we get deeper into the year and we get to Q4, we get the strongest contribution, not only in revenue, but also to the bottom line. And reason number three. When we planned the year and we made our outlook, we were planning also to have some M&A deal. Our M&A deals during the quarter were planned originally to be slower and smaller but actually we achieved all the deals in the first quarter. It happened faster and a great revenue and actually as we talked, to be honest, up to Friday last week, we had already four fine LOIs and four additional LOIs are in signing process. Then on top of it, we have more than $100 million deal in the earlier stage. I would not book on those, but I am just telling you that this is the way we count it. So very hot upside in the beginning of the year. Let's go to page five and talk about the business cloud services -- sorry, page seven and then page eight. Page eight is titled, our revenue mix by services. Our revenue mix, both in media and in cloud services, is increasing. Media is now 27%, it was 25% and our other cloud services, is' actually called the new cloud services, moved from 11% to 20%. Fax and voice which include Cloud Connect, went down in percentage but steady in revenue. Our customer count grew this quarter, or quarter-over-quarter by 240,000 units. 10% of them approximately are fax and voice and 90% of them are mostly backup units that came from a mix of the acquisition including SugarSync. Our first quarter cancel rate is better than it was in Q1 of last year. It was 2.3%, now down to 2.2%. The main reason for our cancel rate improvement is that we have more mix, better mix of corporate customers. They sign for longer contract and we have more premium customer that take the higher priced units and those people also have a longer longevity. Fax is now 45% of our total revenue. Fax is not down in revenue, but mostly it is because the other parts of our business are growing faster than fax. Page number nine, Cloud Connect. As you see, our premium brands of eFax, eFax Corporate, eVoice, eReceptionist and City Numbers are now all consolidated into a new Cloud Connect dedicated team that we have built. We have created this team to focus on our fax and voice services. This dedicated team is led by our newly appointed President, Harmeet, was promoted from the FuseMail business. They will focus on new value creation through organic growth, mainly voice and moving up to the premium brands, enter new connectivity in mobile services, for example, we can enter into collaboration mobile and document management services. M&A, we already done one M&A deal for them in France and we have another one in LOI and improving of margins, most of the improvements of the margins will come through continued consolidation of the infrastructure of this business. Premium fax and voice brand service revenue grew, as I mentioned. And another positive on this quarter, the fix proportion of the revenue continues to increase, which decreased our dependency on usage. Foreign currency, as Scott said, had negative impact on this business and I just checked before the call and it seems that the Euro started to improve and actually it's a little bit higher than our plan at this time which is positive to us. Integration of our Firstway, RTE business has completed at schedule. The RTE CEO James Harvey is visiting us today. He is now heading the entire European organization. And all his team from the other side of Dublin has now moved into our Santry office and they are working together. Page number 10, cloud backup. Cloud backup had very strong quarter-over-quarter growth of 68%. As we said, the revenue is plus, minus $70 million. EBITDA continues to grow. At full integration, which we will reach very soon, it's about 40% EBITDA margin. We have a new Livedrive deal which we signed with Carphone Warehouse U.K. They are basically a company that just merged with Dixons. And they are branding their service as Geek Squad pickup. They have 700 stores which would deploy our services and this business deal has commitment of minimum revenue. So this deal will add to our revenue as they launch it through the year. We have bought SugarSync backup, sync and collaboration, all integration in one service. SugarSync's office is in San Mateo. We are integrating them already. The R&D teams of both Livedrive and SugarSync will be one and the product for Livedrive, SugarSync and KeepItSafe will be headed by management that we brought up into J2 from SugarSync. Page 11, email security update. As we talked about promoting Harmeet, we brought a new managing director, [indiscernible], to join us in March. Aryan is already traveling to all of the offices that are related to the FuseMail business. The near-term focus is to integrate the recent acquisitions, Stay Secure from Sweden and Comendo from Denmark and to continue to integrate the acquisition for Excel Micro. This business represents approximately $50 million. Of those $25 million are the Excel Micro and $25 million is the rest. Most of the newly acquired revenue from Stay Secure and Comendo. [indiscernible] is non profitable business or unprofitable business and was reflected in the low price that we paid for it. The EBITDA of the total business is 25%, but it is 40% without the Nordics and once we integrate Stay Secure and Comendo, we expect it to go 40% level plus. Next page, Campaigner email marketing update. Campaigner has accelerated growth. They grew 63% quarterly year-over-year and 20% for Q4 2014. We just acquired email marketing company called Email Direct. Email direct has brought to us besides the revenue and everything else also a strong lead generation team which impacts the organic growth of Campaigner and Campaigner is growing now in double digit growth. We have started to integrate the new acquisition for Excel Micro, which is called Nuvotera and we continue to integrate all the other acquired businesses. We launch Campaigner White Label, added new feature for email. And the main focus that I want you to focus on when you think about Campaigner, email marketing is typified by rarely the company's buy and integrate other company into the infrastructure. It is not an easy task. We have developed Campaigner strong engineering team and product team that are capable to buy companies and integrate them. Why I am excited about it? This can become a rollup machine, because there are many companies with relatively low revenues of $5 million, $10 million and $20 million that are not big shop and we don't see a lot of competition when we buy them because of the hardship of integrating them, but we are able to integrate all of them when integrating them also all to one system. So we are not like buying with it and running with the persistence. We are integrating it into one system. So very exciting here. Let's go and talk about digital media, page 14. Here the highlight, as I said, Q1 is one of the weakest in the media business, but still we had a very strong quarter revenue of $43 million,.30% percent quarter-over-quarter. EBITDA of approximately $40 million, up significantly 61% higher than Q1 of 2014. EBITDA margin grew to 32% versus 26% last year. And revenue per thousand visits of $45 versus $56 before the acquisition of Ookla. Ookla is the most profitable part of Ziff Davis business, but a different mix of customers and they brought the revenue per thousand to $45, a significant improvement due to the profitability to the bottom line. The visits to our owned and operated site are up 61% year-over-year with 956 million visits. Now IGN. IGN too continues to expand into and invest in video. IGN video views are up 30%. IGN YouTube channel saw biggest growth reaching 6.5 million subscribers. IGN launched new apps for Xbox one and FireTV. IGN app installs across all the consoles and over-the-top devices now are at 12 million unique, which is 52% year-over-year growth. IGN, AskMen and PC Magazine passed 15.6 million social follower mark, which is 99% or 100% almost year-over-year growth. Let's go to the next page 16. When I will talk about the Speedtest or Ookla. We acquired Ookla only in December. The integration of Ookla is going on as planned. Total speed test hit a new all time high of 463 million test, which is 20% year-over-year. Since inception, there were seven billion test created on the infrastructure of Ookla. For those of you who do not understand, Ookla is a business of testing the speed of Internet speed. The opportunity is very big because those people that test, they test for a reason. Usually because they are not happy and if they are not happy, it's great opportunity for us to introduce competition and be paid for advertising them. Ookla mobile surpassed 135 million installation, which is 51% year-over-year growth. And lastly, international expansion of our media division, we expand PC Magazine into Asia, IGN into Hungary IGN into Spain and IGN to Brazil. With that, I will pass it to Scott who will discuss our outlook.
Scott Turicchi: Thank you, Hemi. On slide 17, we are reaffirming our guidance of both revenues and non-GAAP EPS. I will remind you that on the revenue side, that is for full fiscal year revenues of between $690 million and $710 million and for non-GAAP EPS between $3.73 a share and $3.97. I would draw your attention that both in the first fiscal quarter as well as our view for the year, we believe that our tax rate will be at the higher end of the 27% to 29% range. In Q1, our tax rate was 28.9% and we think that is a realistic rate going forward, in large part because some of the M&A has been more U.S. centric than non-U.S. centric and so are seeing a shift in income into U.S. tax domicile versus foreign tax domicile. And with that, I would encourage the operator to come back on and inform you how to queue for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Daniel Ives with FBR. Please proceed with your question.
Daniel Ives: Thanks, guys. Great quarter. So can you just talk about in terms of the cloud business, if you are seeing any changing buying dynamics in the field, maybe over the last few months or maybe compare and contrast where we were six months ago?
Hemi Zucker: Yes. You were a little bit muffled in. You said if we noticed any difference in what with what respect to the cloud environment?
Daniel Ives: Yes. In terms of the cloud business, just maybe you could talk about buying behaviors and any changes, one way or another, that you are seeing there this quarter?
Hemi Zucker: It's not the same across the board. So let's start with our backup. Backup is growing. Businesses are adopting it. Businesses accumulate data and we see basically organic growth that comes through each deal is bigger than before, because customers are increasing the data and we have seen easier time in introducing the concept of storing in the cloud versus storing in hardware. On the cloud business of our Campaigner, we have seen now that we are able to sell to larger customers and less and less customers are attracted to smaller websites, do-it-yourself type. They prefer to go in stock versus buy online and what we are seeing is increasing ARPU, especially as I said on the Campaigner side and we have started to generate leads by calling customers and through lead generation versus straight to site. Profit there is higher. On the email security, we actually rolling up resellers that were excited to join the cloud, but now they realized they are too small to deal directly and they prefer to do it through us or J2 in the cloud is increasing its bank of reseller which basically lowers our competition. So we have lee people to compete with because the resellers are on our side. I hope I answered your question, Dan.
Daniel Ives: Yes. That's good. In terms of acquisition strategy, you have just given now sort of closed Carbonite. Can you maybe talk about how we should think about things going just second half of the year.
Hemi Zucker: Yes. So as I indicated, we have some relatively large deals. Two of them are larger than $40 million each, one is larger than $30 million. They are all in the breakup early stage, but they are shocked around. And I think that there would be more consolidation, which is something that we really specialize and are expert in. And I actually am very bullish about it because J2 is ultimate M&A machine and we have more and more discussion with companies that a year ago would say, we are going all the way to the IPO. Now they are going all the way to J2. Basically that's what I see in the market.
Scott Turicchi: The only thing I would to that is not M&A related, but if you look to the balance of the year and certainly into 2016, even with these margins, we have a drag probably more on the cloud side than the media side, because 17 of the last 18 deals have been on the cloud. Some of them have been already integrated but some of them are still in a very early stage of integration. So I am very happy that in the year-over-year period, we have got 43% flow-through of incremental revenue with EBITDA on the cloud side. That's a primary focus for the business units for which assets have been acquired, primarily in the email security area and the backup area.
Hemi Zucker: And other thing, we sometimes buy companies that they already acquired other companies. And we find even though that they are small, that they actually bought another company, but not really integrated it and they are running with persistent. This is not they way we operate. We just integrate them. We build our systems to be strong with APIs and strong with everything. That's why we are able to generate this high EBITDA. We go and seek companies that have perfected their pricing the cost of the integration and therefore they cannot make it to the finish line and they are happy to shop the company to us. On the organic side, as I said, it becomes easier to sell. Our name becomes more prominent. J2 is led by strong brands. We have no acquired True Listing [ph] which is a very strong brand. We have Livedrive We have been in every country a brand that is in the top shelf brand which always was our philosophy because you have to spent a lot of advertising money unless you have a recognized brand.
Daniel Ives: Great answer. Thanks a lot, guys.
Scott Turicchi: Thanks, Dan.
Hemi Zucker: All the best.
Operator: Thank you. And our next question comes from the line of Greg Burns with Sidoti & Co. Please proceed with your question.
Greg Burns: Good afternoon. I missed the prepared remarks. So forgive me if you have touched on some of this, but in terms of Carbonite, I know you are still interested in some portion of their business. What percent of their total revenue does that make up? Well, what is your intent for your equity stake in Carbonite? Are you going to hold on or liquidate?
Scott Turicchi: Two things. First of all, everything that you have just said and our intent is outlined in our 13-B filing and when as and if our intent changes, you will see an update to the 13-B filing. So just to remind everybody of a couple of facts and no, we didn't address it in the prepared remarks, so it is a fresh question. The last communication was an interest in what's called the endpoint business of Carbonite. We are not a liberty to disclose the amount of revenues that that constitutes. That's a question for them to answer, but it is their legacy service, yes. And then as it relates to any activity vis-à-vis Carbonite, they terminated the process. We have a standstill with them that runs through June 30 of this year. And so come July 1, we will be free to do what we think is appropriate for J2, whether it's regarding the company as a whole, a piece of the business or our own shares.
Greg Burns: Okay. And on the media business, it looked like a very nice page view and traffic volume growth there. Was that all organic? Or how much of that was organic versus inorganic? And are you doing anything in particular?
Scott Turicchi: A big chunk of the visits and the views came from the acquisition of Ookla. And as Hemi mentioned, what you didn't hear in the prepared remarks, the revenue per thousand visits declined from $56 in Q1 of 2014 to $45. And what is happening there is, we have got all these additional visits and pages from Ookla and they are not yet optimized. Very similar to what happened when we bought IGN and almost everyone of the properties we have added into digital media. So you can think of it as it has reset that metric. Now as we put our programs in place to optimize the revenue productivity of Ookla, we would expect to see that number go back up.
Hemi Zucker: Greg, let me add. That's correct about a visit to the site, but video and YouTube products or services are not included in Ookla and they had grown also significantly. I said, for instance, you know, social followers doubling and I said that we have 52% more installs. We have 30% more video. Those are organic. They are not tied to the Ookla, because Ookla does not provide those types of services.
Greg Burns: But they do provide visits?
Hemi Zucker: They provide visits, but they don't provide video views and things like that.
Greg Burns: Okay. Thank you.
Hemi Zucker: You are welcome.
Operator: Thank you. And our next question comes from the line James Breen with William Blair. Please proceed with your question.
James Breen: Thanks for taking the questions. Just a couple. You just answered the one on the page view spike and the visits spike, so that's great. Does the acquisition there of Ookla change the breakdown in terms of how EBITDA progresses throughout the year with the media intended to be more back-end loaded, just given that heavy impact?
Scott Turicchi: [indiscernible] business if you segmented it out or pieced it up, is not have the same degree of backend strength that our core properties do. So in that sense, it can tamper or temper a little bit the way the revenues and EBITDA flows. However, since we bought Ookla in December, that was already baked into our seasonality for 2015. And as you may recall last quarter, when we announced the guidance and gave the subcomponents to it, we were still expecting 30% plus of the total revenue of media to come in Q4 of this year.
Hemi Zucker: Hi, James. So Ookla is drive by people testing their bandwidth. I don't think that people test bandwidth more increasingly this time. But they do shop other products so that basically and Ookla, as I said James, it has a very high EBITDA. It is very profitable. So it gives good support through the year.
James Breen: Okay. Scott, I think you just said 30% of media revenue. You meant 30% of media EBITDA in the fourth quarter?
Scott Turicchi: No, revenue.
James Breen: 30% of revenue, okay. And then, from a margin and free cash flow perspective --
Scott Turicchi: It would be more in EBITDA. Just to clarify. That represents an even higher amount of total EBITDA for the year for media. So if you are 30% plus in revs, it's even higher share of EBITDA.
James Breen: Okay. Great. And then you talked a little bit about working through some of these acquisitions. Your EBITDA margins in cloud was 47% this quarter, the same as it was a year ago. What's the high end of that range? Can you get to 50% or 51%? Or because of some of the mix now, you are probably going to stay in the high-40% range?
Hemi Zucker: No. It should go up because, as I said through the call, we are consolidating newly acquired companies in the Nordic, a newly acquired company in the backup, a newly acquired company in FuseMail. All of those companies in the beginning tend to deliver weaker EBITDA and they continue to improve as we continue to consolidate.
Scott Turicchi: I think on a more longer-term mark, I think with the exception of web hosting, which still remains an asset that we are incubating in the Australian market, so the Web24 asset. I think each of the core business elements that we are in, our business services that we are in, when they reach scale, it will be 50% or better EBITDA margin businesses. In fact, in some cases where we are already honing in on that. In other cases, the revenue stream is just not large enough today. It probably needs to be, in our judgment, for most of these services $100 million of revenue or more.
Hemi Zucker: In general, as we just made a focused team on Cloud Connect which is $340 million and we had a focused team on media, which is north of $200 million. My job and focus now including everything is also to take those other divisions and help them and take them and bring them to the scale of $100 million plus, when they can really reach EBITDA of 50% on the cloud side. This is what is our new focus now.
James Breen: Great. And then just one last question, Scott. You said you spent about $75 million on the nine transactions this quarter. Any indication in terms of how much that revenue showed up in the quarter? Or most of those towards the end of the quarter?
Scott Turicchi: I think that of the nine, most were in March. One was in --
Hemi Zucker: The largest one, which as you know, tailing everything around it is SugarSync and they were end of quarter.
James Breen: Okay.
Hemi Zucker: So SugarSync is the largest of them.
James Breen: Thank you very much you.
Hemi Zucker: You are welcome.
Operator: Thank you. And our next question comes from the line of Walter Pritchard with Citi Research. Please proceed with your question.
Jim Fish: Good afternoon, Hemi and Scott. It's actually Jim on for Walter and thanks for the questions.
Hemi Zucker: Jim, nice name Walter.
Scott Turicchi: All right. Go ahead.
Hemi Zucker: Go ahead.
Jim Fish: So going back on the last question, maybe perhaps another way that we can ask this is, can you talk about the gross adds this quarter that came in BCS from the M&A that you had as opposed to just the revenue.
Scott Turicchi: I don't have it.
Hemi Zucker: Gross adds what?
Jim Fish: The gross adds from the total, yes.
Scott Turicchi: The gross of the total adds, units. Right, on the 240,000 units of the sales were the net adds.
Hemi Zucker: Those were the net adds.
Scott Turicchi: Not the gross adds.
Hemi Zucker: So 240,000 are net and you can calculate it. The churn is 2.3%, I mean, it's hard for me to do it on the slide, but you can basically reverse engineer it to the gross adds. I can tell you that our marketing and cost per acquisitions are all same or better. I also indicated that we get some new boost to our sales lead generation, which was not something that we have seen so well in the past. Our Google search and everything is optimized. And J2 is very disciplined. So if we don't get what we want, we are not trying to climb the last wall. If it doesn't work, we look for another alternative, not we keep the money in the bank. So cost of acquisition are managed well. We are seeing more lead generation. We are seeing some affiliates coming in Japan. And we have more reseller than we ever had before selling on three or four. Almost all of our products now have some level of resellers. Some, the reseller level is very high, like the backup and on the fax is low. But basically, those are new channels that you pay only for success.
Jim Fish: Okay. Thanks for that. And then on media, can you refresh us on the monetization strategies for that business that enable you to actually have margins that appear to be higher than the rest of the digital media peers?
Scott Turicchi: Yes. At a high level, if you go back actually now a couple years ago, shortly after we acquired Ziff Davis. So we had an Analyst Day in New York in July 2013. I believe that is not our website anymore, but I believe that that presentation is still available through you sec.gov, because I think it was filed, but I would say the key to our digital media strategy is multiple streams of monetization of the traffic and marrying that traffic with data analytics to get premium pricing. In a nutshell, that's really what's going on. So we have the content that is, for the most part, our owned and operated across a variety of web properties in the tech games and men's lifestyle area. Traffic is showing up basically on an organic basis. So we don't have large, if any really, traffic acquisition costs. They are nil.. They are nonexistent. And then we have to monetize that traffic. So there is different theories and methods of how you do it. We have straight display monetization. We have performance-based marketing. We have high quality leads, we call it, which is our B2B program for basically medium to large enterprise and we have licensing programs. Hemi mentioned at the end of the prepared remarks about taking some of the intellectual property and content and in non-English speaking countries, releasing those websites for which we receive certain fees.
Hemi Zucker: Also we used to mention last year in the earning calls the position of Ziff Davis and IGN as the number one or number two, most of the time number one player in their place. So if you are number one in tech and you are number one in games, people have to come to you. You don't have to spend so much money like the others and the margins are higher. Everybody who is number one, just sits there and waits for people to come to you because nobody can just go and launch a campaign ignoring the number one or the number two. So that's also a big contributor to our position in profitability. And J2, all the time is trying to become the lead brand in its space or one of them, which always, always drive to higher EBITDA. Hope I answered you.
Jim Fish: Yes, you did, thanks. Thanks for that color there, Hemi. And I guess just one last one for me, is just with the media vertical pullback in the markets pretty much. Is there anything out there from a domain perspective that looks interesting to you guys?
Hemi Zucker: We don't want to disclose what exactly, but we are looking into additional verticals all the time. We have an internal scale of what we like and what we don't like sports we think is less attractive to us and other verticals. We are looking and with our discipline once we find the right one, we will take it.
Scott Turicchi: If you look at the core of the content that we have today and particularly this homes in on the tech and games area, it is content that aids in decision-making for a purchase. So people are coming because they want to find out about the latest games, platforms, tech gear, software services and so that engagement is important because there is, in many instances, an intent to want to own whatever it is that they are researching and investigating. And that's why, like as Hemi mentioned, in the sports category, although there are some that do it very well and make a lot of money, that doesn't fit as well into our overall philosophy.
Hemi Zucker: And Ookla, on the other side, is decision to potentially move to another provider, which is the name of the game there. You want to make a purchase decision, it's a long-term commitment of subscription. Those that are trying to move subscriber to their network, are willing to pay to justify the fact that Ookla is number one in this space in the world.
Jim Fish: Great. Thanks, guys.
Scott Turicchi: Thank you. Thanks, Jim.
Operator: Thank you. We have no other questions in the queue at this time. I would now like to turn the call back over to Scott Turicchi for any closing comments.
Scott Turicchi: Thank you very much. We appreciate your time and attention today for listening to our Q1 earnings call. Tomorrow or Monday, we will be putting out our press release regarding the upcoming conferences at which we will be presenting over the next couple of months and we look forward to seeing you at one of those conferences or if you have follow-up questions just reach out and contact us. Otherwise our next regularly scheduled call will be in early August to report Q2 results. Thank you.
A -Hemi Zucker: Thank you, everybody and bye, bye.